Operator: Good morning, and welcome to the Green Plains Inc. Fourth Quarter and Full Year 2025 Earnings Conference Call. Following the company's prepared remarks, instructions will be provided for Q&A. I will now turn the call over to your host, Bill Yackel, Vice President and Treasurer. Will, please go ahead.
Bill Yackel: Welcome to the Green Plains Inc. Fourth Quarter 2025 Earnings Call. Joining me on today's call will be Chris Ossowski, President and Chief Executive Officer; Anne Reese, Chief Financial Officer; Emre Havasi, Senior Vice President of Trading and Commercial Operations; as well as the entire leadership team. There is a slide presentation available, and you can find it on the investor page under the events and presentations link on our website. During this call, we will be making forward-looking statements which are predictions, projections, or other statements about future events. These statements are based on current expectations and assumptions, that are subject to risks and uncertainties. Actual results can materially differ because of factors discussed in today's press release, and the comments made during this conference call and in the Risk Factors section of our Form 10-Ks, Form 10-Q, other reports, and filings with the Securities and Exchange Commission. We do not undertake any duty to update any forward-looking statement. I'd like to thank you all for joining. It's my pleasure to hand the call over to our President and CEO, Chris Ossowski.
Chris Ossowski: Thank you, Will, and good morning, everyone. As we close out 2025, a year marked by both challenges and meaningful achievements, I want to start by thanking our employees for their dedication, our board for their confidence, and our shareholders for their continued support. Our teams delivered strong operational execution across the fleet while maintaining an exceptional safety record. As always, safety remains the center of everything we do. Nothing we accomplish matters unless we send people home safely every day. For the year, four of our plants reached historical production volumes and seven plants achieved record ethanol yields. At the same time, protein and corn oil yields continue to increase across our fleet. These results reflect a culture of continuous improvement, measuring everything, learning quickly, and applying the lessons learned. During the fourth quarter, our operations teams continued to demonstrate the potential of our platform. Our fleet once again generated volumes above their original stated capacities. As we committed during a previous earnings call, we updated our maximum production volumes which is a clear reflection of the team's progress. Our new stated production capacity for our plants, excluding Fairmont, have been increased to 730 million gallons per year, an increase of 10% over the previously stated capacity. We've increased the Central City and Wood River facilities to 120 million gallons per year each, we adjusted Mount Vernon to 110, Madison to 100, and Shenandoah to 80 million gallons. Finally, we moved Otter Tail and Superior both to 70 million gallons each and increased York from 50 up to 60 million gallons. At Madison, we remain limited by state regulations, we're currently working with the state of Illinois to increase the permitted production levels. Q4 was highlighted by the start-up of our CO2 compression equipment at our three Nebraska plants where carbon capture is now fully operational. As we previously shared, CO2 from all three Nebraska plants is being sequestered in Wyoming and the impact is lowering CI scores for our plants and generating cash flow. Financially, the focus on operational excellence and our efforts to remove costs from the business have resulted in considerably stronger results compared to last year. Q4 adjusted EBITDA of $49.1 million is an improvement of more than $67 million compared to 2024. We continued to realize the benefits of the 45Z clean fuel production tax credit which generated $27.7 million in the quarter net of discounts and we received our first payment for the transfer of credits. Although we have not yet announced a tax credit agreement for the sale of our 2026 credits, we are encouraged by the interest we've received and expect to have something to announce soon. Although it's early in the year, there's plenty to be excited about as we enter 2026. As we mentioned in earlier calls, the opportunity around carbon alone is expected to generate at least $188 million of adjusted EBITDA during the year subject to actual production volumes and carbon intensity factors. That figure reflects the contribution of the 45Z production tax credit involuntary credits at our Nebraska facilities that are sequestering CO2 as well as approximately $38 million of net 45Z benefits from our plants outside of Nebraska all of which are producing low carbon ethanol qualifying for 45Z. It's easy to get caught up in the opportunities around carbon. Let's not forget about ethanol. Export demand remains strong, and we're coming off a record-breaking corn crop. From a policy standpoint, strong administration and bipartisan support across several fronts RVOs, SREs, and the push for year-round E15 can help strengthen biofuel markets and support American farmers. The release of treasury's proposed 45C clean fuel production credit regulations provides long-awaited clarity for the industry, recognition of CI improvements from on-farm practices, and T1 big beautiful bill improvements such as the removal of the indirect land use change penalties and clarification of the qualified sale definition. We view this as a constructive step that should support our decarbonization program, strengthen domestic feedstock markets, and create a favorable debt backdrop for our low CI platform. The continued strong production from our network of plants will allow us to capitalize on these tailwinds. Finally, I'd like to introduce two new faces to the Green Plains senior leadership team. Anne Reese and Ryan Loneman. Ryan is leading our legal function and will serve as a key adviser on governance, regulatory, and strategic transactions while Anne leads our finance and accounting organization, and is already providing insightful leadership in our tax credit monetization efforts and has brought a tremendous amount of industry experience to the role. With that, I'll hand it over to Anne to review the financial results.
Anne Reese: Thanks, Chris, and good morning, everyone. I'm extremely excited to be a member of the Green Plains team, and I've been so warmly welcomed by everyone over the past four weeks. 2026 is looking to be a positive year for Green Plains and the ethanol industry. But first, let's talk about the fourth quarter of 2025. For the 2025, we reported net income attributable to Green Plains of $11.9 million, or 17¢ per diluted share versus Q4 2024's net loss of $54.9 million, or negative 86¢ per diluted share. Adjusted for $3.6 million of restructuring and noncash charges primarily related to accelerated stock compensation. And inclusive of the production tax credit benefits Q4 2025 adjusted EBITDA ended at $49.1 million compared to a negative $18.2 million in 2024. These year-over-year improvements reflect the successful execution of operational, and cost discipline and the beginning stages of our carbonization monetization strategy. During the fourth quarter, we refinanced the majority of our 2027 convertible notes through a new $200 million convertible note due in 2030. We used $30 million from that transaction to repurchase approximately 2.9 million shares of stock. Outside of the $60 million of 2027 convertible notes that remain outstanding, that we anticipate retiring with cash at maturity. We now have no near-term debt maturities and have the runway to focus on execution. Revenue for the quarter was $428.8 million down 26.6% year over year. Our Q4 revenue was lower due to the impact of the Obion plant sale, idling our Fairmont facility in January, and discontinuing ethanol marketing for a third party, all of which naturally reduced the gallons we had to sell. SG&A totaled $22.9 million, which is $2.8 million lower than the prior year Q4. We continue to keep a sharp focus on expenses in the business and we can see that reflected in the significant cost reductions compared to last year. We expect a consolidated SG&A run rate in the low $90 million range for 2026 an improvement of more than $25 million compared to 2024. Q4 2025 depreciation and amortization finished at $23.5 million compared to $21.5 million in 2024. Depreciation is expected to increase modestly in Q1 as we take ownership and begin depreciating the remaining carbon compression equipment. Interest expense was $6.1 million during the fourth quarter. A decrease of $1.6 million compared to 2024. We expect $30 million to $35 million of interest expense during 2026. In the fourth quarter, we had an income tax benefit of $2.8285 million. Similar to last quarter, our 45B clean fuel production tax credits are currently recorded under ASC 740 as a deferred tax asset and then adjusted with a valuation allowance to recognize the likelihood of monetization. We've included the production tax credits and adjusted EBITDA to match our view that these are operating results of our production assets. In December 2025, the Financial Accounting Standards Board issued ASU 2025-10. Accounting for government grants received by business entities. The standard is effective after December 2028, but it does permit early adoption. The company will consider the impact of early adoption in the force 2026 which would adjust the presentation of the 45Z tax credits within the financial At the end of the quarter, our federal net operating loss balance of $260.2 million will provide future tax efficiency. Our normalized tax rate going forward is expected to remain in the 23-24% range. Our consolidated liquidity at quarter end included $230.1 million in cash, equivalents, and restricted cash, $325 million in working capital revolver availability, which is primarily designated for financing commodity inventories and receivables within our business. Capital expenditures in Q4 were $5.3 million. For 2026, we expect sustaining capital expenditures for maintenance, safety, and regulatory spending to total $15 to $25 million. Our York compression equipment passed its final performance testing during the fourth quarter and the associated liability has moved into the debt portion of the balance sheet. The compression equipment liabilities for Central City and Wood River remain in a separate line item as of December 31. But that liability was moved into long-term debt in January. Inclusive of the carbon equipment liabilities, our total debt balance is approximately $504 million. With that, I'll turn the call over to Emre for a commercial update.
Emre Havasi: Thanks, Anne. In the fourth quarter, ethanol margins remained resilient. Thanks to industry fundamentals. That were much better than in 2024. The ethanol inverse did not break until late November. The industry was slow to build stocks coming out of fall maintenance, thanks to both solid domestic blending and strong export demand. Ethanol margins remain well positioned due to a record corn crop that could help keep feedstock prices in check. As we mentioned on our last call, we were partially hedged heading into Q4. And those positions paid off as ethanol softened later in the quarter. The 2026 is shaping up to be stronger than the same period of last year. And consistent with our disciplined risk management approach. We have a significant portion of our Q1 production margin locked in. Industry ethanol production has been higher compared to last year, but we expect supportive demand both domestically and internationally. Ethanol exports set a record last year and we expect export demand to increase again in 2026. Domestically, E15 adoption continues to increase slowly and it remains a massive opportunity for the industry. We are thankful to our local, state, federal representatives who continue to advance E15 and advocate for American agriculture. Corn oil markets remained steady during the quarter values that contribute nicely to our gross margin. Although protein pricing continued to be under pressure, corn costs remained low and overall, see relatively solid margins going forward. With that, I would like to hand the call back over to Chris.
Chris Ossowski: Thanks, Emre. 2025 was a year of change, and our team has thrived while confronting challenges. The plants are producing more than what was previously thought possible, Our carbon project and the resulting earnings are being delivered. The balance sheet has been transformed and derisked. It was a year defined by focus, safety, reliability, a commitment to doing things the right way every time. Which is exactly the mindset we're carrying into 2026. As we enter an exciting time for the company, our attention is focused to capital allocation and delivering value for our shareholders. We are concentrating efforts towards five strategic priorities, which include improving energy efficiency, and CI reduction projects, evaluating carbon sequestration opportunities for plants, currently not on a pipeline, specifically how we capture carbonate plants before Summit comes online, as well as for our plants that are not committed to a pipeline. Debottlenecking or expanding opportunities at our facilities, which are currently being engineered, increasing on-site grain storage and receiving speed capabilities, and finally, balancing capital structure and returning capital to shareholders. We look forward to putting this plan into action. Several efficiency and CI reduction projects are already underway and could be completed within the year. We are also completing FEL or front-end loading engineering on several larger energy reduction opportunities. It's important to note that these projects reduce energy consumption which inherently lowers our OpEx making our plants more competitive. Before adding on the returns from 45Z. This fully aligns with our strategy of being a low-cost, low-carbon biofuels producer. We're also evaluating and expect to expand our on-site grain storage and receiving capabilities. When we think about prioritizing the efficiency of the base ethanol plant, adding additional storage will help us draw more farmer bushels and capitalize on new crop harvest opportunities lowering feedstock costs, reducing operational risks. In keeping with our disciplined data-driven approach, every project will compete for capital and must support our low-cost, low-carbon strategy. In closing, I'm incredibly proud of what our team has accomplished in 2025, I'm confident in the direction we're headed. We remain focused on delivering the decarbonization program driving operational excellence, and maintaining a disciplined hedging strategy. We look forward to carrying this momentum into 2026 and remain committed to building confidence and trust as we deliver value for our shareholders. With that, operator, we will now take your questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question and answer session. If you would like to withdraw your question, simply press 1 again. We kindly ask everyone to limit themselves to one question and one follow-up to accommodate all questions.
Pooran Sharma: Thank you. Our first question comes from the line of Pooran Sharma with Stephens. Please go ahead. Good morning. And, congrats on the results this morning, and I appreciate the questions here. I just maybe wanted to start off by asking about something you said in your prepared comments. You mentioned you're starting to see interest for counterparties around the 2026 45Z credits at this point. I was just wondering how that engagement has influenced the range of potential pricing or structures versus what you saw in 2025?
Chris Ossowski: Well, thanks for the question, Pooran, and, yeah, appreciate the feedback on the results. We are actively marketing these credits and, we feel, you know, confident in the strength of our platform's ability to deliver credits going forward. And I think in the near future, we'll be in a position to share more on the details around execution of the sale process.
Pooran Sharma: Okay. Appreciate that. Wanted to maybe get a sense of you know, you mentioned I think, in the release that there was some upside here to the 188 total carbon I think you mentioned, you know, there's some CI reduction projects. In the mix. But just one was wondering if you could just tease that out with a little bit more granularity. What do you think how much more do you think that opportunity can get to? And what are some of the projects that you're working on specifically?
Chris Ossowski: Yeah. And I appreciate the follow-up. So we have numerous plant efficiency projects, which is, say, in terms of total capital in the $5 to $10 million range of spend. That have very fast returns inclusive of 45Z you know, things that are paying for themselves within a two-year time period or even less in some cases. Focused around the Nebraska locations. But we're also evaluating opportunities for, you know, larger investments that could lower the energy consumption in plants. That lower our OpEx, specifically electrical and natural gas consumption. They'll help drive, returns just beyond 45Z. In terms of magnitude, I don't really have a specific range, to share. But, we're confident in the numbers we've provided so far. And there is potential upside. But we are working to optimize the carbon capture equipment that is running right now. All five compressors right now are online. Capturing more than 90% of the CO2 that we're producing. So we feel very, very strongly about the numbers we provided so far. And as soon as we start rolling out, some of these projects, we'll communicate more on expected returns and potential upside.
Operator: Our next question comes from the line of Salvator Tiano with Bank of America.
Salvator Tiano: Hey. Good morning. Hey, Kim. I'm calling for Salvator. Can you clarify why your 4Q cash flow from operations before working capital was around $16 million much lower than EBITDA? And conversely, it appears you had a massive working capital tailwind for 4Q in the year, What drove that, and what does that mean for 2026 net working cap? Thank you.
Will Yackel: Sure. Thank you for the question. This is Will. So Q4, as we said in our prepared remarks, we had a nice uplift from carbon earnings. We haven't taken full receipt of cash. We did take a small portion, $14 million, as we previously released. But we'll receive the rest of that cash in Q1. That's going to be one of the deltas The second piece, you know, in talking about working capital is we did accelerate our receivables and our inventory as previously discussed. From the ECO transaction. And along with building farmer payments during the quarter That helped generate some cash for us from a working capital standpoint in the quarter.
Salvator Tiano: Thank you. And as a quick follow-up, how should we think of 1Q ethanol EBITDA margin was suggesting segment EBITDA for Green Plains. Is that what you're seeing in the market? And what about 2Q outlook so far?
Emre Havasi: Thanks for the question, Salvator. It is we're, of course, seasonally this is the low point usually of the year, but we're much better in much better shape as an industry and also our company. Compared to last year. You know, when you look at different components of that EBITDA margin, mean, already talked about our operational efficiency. Our plants are running well. Our yields are up. So we're putting out really good production volumes to the market. In terms of market fundamentals, the different components of our consolidated crush margins are holding up very nicely. You know, corn continues to be relatively inexpensive due to that large crop, and that got confirmed Corn oil prices are significantly better than a year ago. And, you know, simple crush margins, which is just the corn futures and ethanol financials, they're also holding up relatively well. Again, reflecting some seasonally lower volumes, but overall, when you look at consolidated crush, they are much better than last year. And, again, if you combine that with our operational efficiency, we're confident to show a very good number for Q1, especially when you compare it to a year prior.
Operator: Our next question comes from the line of Kristen Owen with Oppenheimer. Please go ahead.
Kristen Owen: So I wanted to start with the $188 million of carbon expected here in 2026. If I look back a couple of quarters, that number was closer to $150 million So I'm wondering if you could help us bridge how we got much better than that, how much of that came from the expanded capacity on your existing footprint, maybe some of the changes that you've made in the operations over the last couple of quarters? And then my follow-up is related to that, just the monetization of those credits. What we should be thinking about in terms of discount to face values, sort of what you're seeing in the marketplace. And, Anne, would love your feedback on that just given your background. Thank you.
Chris Ossowski: Yeah. Thanks, Kristen. And maybe I'll start. In terms of the $188 million, you know, that number has moved a little bit, but it's really built around $150 million coming from the three Nebraska locations, inclusive of voluntary credits, which are probably in the $15 to $20 million range out of that $150 million. And then the additional $38 million coming from the other facilities, that number changed as a result of the Obion plant sale So in simple terms, it's 380 million gallons of capacity with five CI points being reduced. And that's how we're looking at that. And that's also subject to, you know, the plants have to run have to maintain our yields. We have to maintain the energy efficiency in the locations. Our compression equipment has to continue to operate at a high utilization rate, which is getting there right now and has been ramping up over the duration of the fourth quarter to get to these levels. And then, Anne, if you want to comment on the tax credits.
Anne Reese: Sure. So the tax credits, you know, there has been a lot of interest around it. It continues. And now with the 45Z proposed guidance coming out this week, that's incredibly helpful. You know, a number of factors that go into the pricing around it. So you know, when you're talking to the counterparties, their interest is around debating around whether you have insurance or not. It's around what the strength of your balance sheet is. It's how many how long of credits you're looking to sell. And whether or not, you know, you qualify for PWA and have a good compliance program around all of it. We feel very confident in all of those factors. In our compliance program, and, you know, we've had very fruitful discussions with counterparties and like we said, we expect to be able to announce something in the near future.
Operator: Our next question comes from the line of Eric Stine with Craig Hallum. Please go ahead.
Eric Stine: Maybe just sticking on the carbon side, just to clarify. So you gave talking about projects or energy efficiency projects at other locations and talked about $5 million to $10 million TRIPS. Is that just to be clear, I mean, that's separate above and beyond the $15 million to $25 million in CapEx that you gave for maintenance. And then also, is that 5 to 10 per plant? 5 to 10 in total? Just give us some clarity on that. That'd be helpful.
Chris Ossowski: Sure. Appreciate the question. And, yeah, in terms of our plant network, we talk about sustaining capital being around that $20 million range. We said we said or $20 million target. That's just to maintain the existing assets' health, and we're gonna ensure as a first priority, assets' priority, that, we take care of our plants and they're capable of running at high utilization rates and yields. Yeah. $5 to $10 million of efficiency projects is on top of that. For the company is what we have, you know, in our queue. And then, you know, we're also, like I mentioned, looking at grain storage opportunities for increasing capacity and receiving speed at locations, and that is yet to be determined, when and where and how much.
Eric Stine: Got it. Understood. And maybe my follow-up, just you know, on the 45Z, obviously, a nice contribution here. I mean, how should we think about I know you've got the new accounting guidance that is coming on for 2028, but something you need to factor in. I mean, how do you think about the linearity of recognizing those in 2026 you know, just as we think about that from a modeling perspective above and beyond, obviously, our judgment on ethanol markets.
Anne Reese: Yeah. You know, as we mentioned, you know, we feel like we'll have something feel strongly we'll have something here to announce in the near future that will help you with that modeling aspect. And you know, with the accounting guidance opportunity that we have to adopt early, In Q1. You know, that'll be we appreciate that guidance. We feel like it is reflective of how we have always felt like the tax credit should be accounted for. And, you know, we'll have more to share with that and with you guys in Q1 on that.
Operator: Our next question comes from the line of Craig Irwin with Roth Capital. Please go ahead.
Craig Irwin: Good morning. Thanks for taking my questions. So first thing I wanted to ask about, is really CI score You know, there were some estimates, shared last year And, just the way you gave us the 188 with the five-point reduction, I assume across the entire platform this year, I guess we're gonna start with a mark. So can you share with us what the CI was on the platform? Exiting 2025? And maybe if you can talk about you know, what's possibly achievable over the course of '26? Can we exceed that five-point assumption in the 188? And, you know, what's feasible with the higher level of capital spending on the platform over the next couple of years?
Anne Reese: Yeah. Thanks for your question. You know, it's the way the guidance reads, right, is you have we have to have a below at 50 score be able to capture the CI. And all of our facilities starting in 2026 with the removal of the eye lock. Penalty. Do qualify for that. And then, obviously, right, with our Nebraska facilities that are capturing carbon, it's well below that 50 mark. Additionally, you know, with the guidance coming out this week, you know, we got a little bit of a surprise, I would say, with the addition of the on-farming practices. Now qualifying for a reduction in CI. So, you know, we'll be sharpening our pencils and taking a look at that and seeing what additional benefit that that provides to us. But we you know, as the 188 was calculated, that was with the assumption of the full cost of a normal corn. And this will reduce it And so we'll anything will be an upside with looking at the on-farming So we're excited about that opportunity, and we'll be working towards coming up with a calculation for that here in the next quarter.
Craig Irwin: Okay. Just as a follow-up in that in my second question, do you care to take a stab at what those on-farm practices could mean as far as an on Green Plains CI? And then my second question is, can you please remind us on the payment terms for the third-party financing on carbon sequestration equipment and capital. That's been invested.
Anne Reese: Yeah. So with the on-farming practices, you know, we'll have to calculate that. There's a number of components that includes, you know, how many bushels we're buying directly from producers. Versus commercial. Spaces, which you know, majority of our facilities are know, that's a majority of the corn that we buy is directly from the farmers. So we have a lot of optimism around being able to capture some of that value. What that actually looks like at the moment, you know, more to more to come on that. But we do feel like there is value there to capture. And, Will, I don't know if you want to talk about
Will Yackel: Yeah. With respect to the compression liabilities, you know, once we take ownership, which we've now taken ownership of all three facilities, at our Nebraska plants, Like Anne mentioned, that does flip it into the balance sheet debt category. And from now on, we will have monthly payments to pay down the PNI on those facilities. Really just works like an amortizing loan similar to a mortgage. So you'll see those reflected in our interest expense and debt repayments on the cash flow going forward.
Operator: Our next question comes from the line of Andrew Strelzik with BMO Capital Markets.
Andrew Strelzik: Hey. Thanks for taking the question. I was Obviously, the company's made a lot of progress from an execution, cost, operations perspective. In relatively short order. I guess, I'm curious how you're thinking about those opportunities going forward. Do you feel like you've executed against most of that at this point, or where do you see the biggest opportunities to continue to get better from an execution and cost perspective?
Chris Ossowski: Yeah. Thanks for the question. Andrew. And just a couple of data points I'd like to share. Starting on the operational excellence front, you know, our plants are, as a whole, are running at a 3¢ decrease in total OpEx year over year from 2024 to 2025. So we're seeing the fruits of that labor coming to fruition. At the same time, there's still a few more pennies that we have to go after in 2026. And some of that is, you know, continued, performance of management in plants. But then also some of the capital projects that we mentioned earlier in the prepared remarks. Getting implemented in locations where we have higher electrical costs. And can take advantage of what is currently, you know, very low natural gas prices or historically low prices. So we feel very positive about that. And then, you know, further investments in our infrastructure to reduce the cost of raw materials. So we talked about grain storage, for us is a very exciting opportunity. To help us increase that percentage of farmer originated bushels that lower our total cost, but then also potentially have a positive impact on CI score.
Andrew Strelzik: Okay. Great. And then you mentioned in the prepared remarks E15 or the potential for E15. I guess, you know, how do you see the market's readiness for E15 adoption from an infrastructure perspective? And I guess, you know, kinda how are you thinking about the regulatory environment for here given some of the headlines in recent weeks? Thanks.
Emre Havasi: Yeah. Of course, a little bit of a disappointment. Right, that it didn't make it into the bill last week. But there is a coalition growing. There is I think long term or we think long term, there is absolutely a need for that. We have to, as a country, generate more demand domestically, not just rely on export markets. I think there's plenty of support for that. In terms of just overall policy, and we're confident that it will be allowed year-long at one point. There are some hurdles, that we have to overcome, but it is long term we believe, a necessary step, and the outlook is positive. Positive. Now in terms of infrastructure, there are a couple of components that may go hand to hand. One is there's plenty of infrastructure out there. But you know, they would have to switch. The gas station would have to switch between different grades. At one point, and it goes hand in hand with consumer. Acceptance. Of the product. So I think the more certainty the industry has, the supply chain can adjust to it. We don't think it's going to have a major impact in '26, but after that, it can very nicely increase domestic blending demand which, again, we believe is a necessary long-term step for US ag and energy.
Operator: Once again, if you would like to ask a question, please press star followed by the number one on your telephone keypad. Our next question comes from the line of Matthew Blair with TPH. Please go ahead.
Matthew Blair: Great. Thank you, and good morning, everyone. Congrats on the strong results. Had a question on your outlook for capital allocation in 2026. And thanks for the CapEx guide. But these 45Z credits coming in, how much debt reduction should we pencil in for 2026? And do you anticipate getting to a point where you could do, like, regular quarterly share repurchases this year? Thank you.
Chris Ossowski: Yeah. Thanks for the question, Matthew. And while we're not really in a position to provide guidance on that, let's say, capital allocation at the moment, We're effectively evaluating each opportunity that we have for free cash flow and where we can put the cash in the best position to provide value for shareholders whether it's you know, first and foremost, improving the efficiency of our plants, for not only capitalizing on 45Z, but for the base OpEx cost of plant operations going forward. Looking at opportunities to debottleneck or expand capacity, where we have room to grow in the pipeline. For carbon. So we've actually sized compression stations and piping for our Wood River and Central City plants to be able to push more gas through the pipeline. And then also, like, talked about the storage opportunities for raw materials. But then finally, looking at opportunities for debt reduction or managing, share repurchase as an alternative option. But we do have a healthy list of opportunities to grow and improve the performance of the business. That have quite attractive returns at the moment.
Matthew Blair: Okay. Sounds good. And then for my follow-up, it looks like the DOE data last week showed U.S. Ethanol production really coming down. I think it dropped about 15%. Week over week, which I guess that was maybe due to either weather issues or the spike in natural gas. So apologies if I missed it, but did you provide a Q1 utilization target And also, you know, any thoughts on natural gas impact on your op costs in Q1? Is that something that you regularly hedge, natural gas? Or could that be pushing off costs up a little bit in the first quarter?
Emre Havasi: Yeah. This is Emre. Thanks for the question. Yes. We were fully hedged on Natgas. We had minor operational hiccups due to the weather, so it's a domino effect. Right? So it's weather impacting both plant performance just the low temperature. Right? And things freezing up. As well as net gas supply and natural gas cost. So some plants decide because you know, they can't cover variable cost that shouldn't levels. If they are not hedged, they might slow down, shut down for a few days. And others would have maybe some mechanical problems. But from our perspective, yes, we've also experienced some impact on our production But in terms of nat gas, we were fully hedged and we did not feel an impact from a margin perspective.
Operator: At this time, we have no further questions. I will now turn the call back over to Chris Ossowski for closing remarks.
Chris Ossowski: Well, thank you for your participation in today's call and your interest in Green Plains. If you have additional questions for us, please reach out, and we look forward to connecting. Have a great day.
Operator: This concludes today's conference call. You may now disconnect your line. Thank you for your participation.